Operator: Good morning, ladies and gentlemen. Welcome to the Compania de Minas Buenaventura Third Quarter 2025 Earnings Results Conference Call. [Operator Instructions]. And please note that this call is being recorded. I would now like to introduce you to your host for today's call, Mr. Sebastian Valencia, Head of Investor Relations. Mr. Valencia, you may begin.
Sebastian Valencia Carrasco: Good morning, everyone, and thank you for joining us today to discuss our third quarter 2025 results. Today's discussion will be led by Mr. Leandro Garcia, Chief Executive Officer. Also joining our call today and available for your questions are Mr. Daniel Dominguez, Chief Financial Officer; Mr. Juan Carlos Ortiz, Vice President of Operations; Aldo Massa, Vice President of Business Development and Commercial; Mr. Alejandro Hermoza, Vice President of Sustainability; Mr. Renzo Macher, Vice President of Projects, Mr. Juan Carlos Salazar, Vice President of Geology and Explorations; Mr. Roque Benavides, Chairman; and Mr. Raul Benavides, Director. Before I hand the call over, let me first touch on a few items. On Buenaventura's website, you will find our press release that was posted yesterday after the market close. Please note that today's remarks include forward-looking statements that are based on management's current views and assumptions. While management believes that these assumptions, expectations and projections are reasonable in view of the current available information, you are cautioned not to place undue reliance on these forward-looking statements. I encourage you to read the full disclosure concerning forward-looking statements within the earnings results press release issued on October 30, 2025. Let me now turn the call to Mr. Leandro Garcia.
Leandro Raggio: Thank you, Sebastian. Good morning, and thank you for joining us today to discuss the quarterly results of the company. On Slide 2, this is our cautionary statement, important information that I encourage you to read. Today, we will discuss our third quarter of 2025 performance, highlighting key achievements on our strategic priorities going forward. After the presentation, we will be available for our Q&A session, where our team will be happy to answer your questions. Next slide. I would like to highlight a few key areas that contributed to our strong third quarter results. Copper production in the third quarter of 2025 reached 12,800 tonnes, down 24% year-on-year. This is mainly explained because in the third quarter of the last year, all the ore stockpile during the El Brocal's voluntary temporary suspension in the second quarter of 2024 was processed. Silver production reached 4.3 million ounces, 3% lower compared to 4.4 million ounces produced during the same period last year. The decrease was mainly due to lower production at Uchucchacua and Yumpag in line with expectations, partially offset by increased production at El Brocal and Julcani. Gold production was 30,894 ounces, down 21% year-on-year, mainly due to lower output at Orcompapa and Tambomayo, consistent with the 2025 planned mining sequence. EBITDA from direct operations in the third quarter of 2025 was $202.1 million, which represents a 48% increase compared to the $136.5 million in the same quarter last year. Net income for the quarter was $167.1 million compared to $236.9 million in the third quarter of 2024, which include $157.3 million from the sale of Chaupiloma. The third quarter ended with a cash position of $486 million and a total debt of USD 711 , resulting in a leverage ratio of 0.41x. Moving on to San Gabriel. CapEx for the project in the third quarter of 2025 was $92 million allocated to completing the construction of the processing plant to enable the start of commercial production in the fourth quarter of 2025. As of now, San Gabriel has reached 96% overall progress. Construction is 95% complete. On September 5, 2025, Coimolache received a new operating permit, allowing fresh ore placement on a new level of Tantahuatay leach platform and adjacent surface areas. This milestone enables full capacity production at both the mine and the leach pad. Finally, Buenaventura Board of Directors has approved a dividend payment of $0.1446 per share ADS. Moving on to cost applicable to sales trend. Copper cash decreased in the third quarter of 2025, mainly due to the positive contribution of byproducts at El Brocal. Silver cash increased driven by higher commercial deductions related to tailings sales at Uchucchacua and lower ore grades at Yumpag. Gold cash has decreased due to higher volumes sold. On the next slide, we will present free cash flow generation. The third quarter 2025 cash position decreased during the quarter mainly driven by the net cash outflows from investing activities and financing activities. In terms of financing activities, Buenaventura redeemed the remaining $149 million of its 2026 notes at par, including a great interest. Moving on to Slide 6. Third quarter 2025 CapEx related to San Gabriel was $92 million, allocated to completing the construction of the processing plant. As of September 2025, San Gabriel's total CapEx has reached $681 million. We are moving forward steadily and remain on track to begin production in the fourth quarter of 2025, subject to timely approval of the necessary permits. As part of this progress, the Ministry of Energy and Mines granted San Gabriel, a power transmission concession. Mine development has been completed and mining preparation activities are underway using Buenaventura's owned fleet. The commissioning plan is now being implemented with the C1 and C2 commissioning already completed. San Gabriel's cumulative progress has reached 96% overall completion by third quarter 2025, primarily driven by finishing the engineering and procurement as well as the construction at 95% of advance. On the next slide, we are showing the processing plans progress. The primary crusher mechanical works are at 100%. The SAG and Ball mills mechanical works are at 100%. And finally, the CIL tanks mechanical works are at 100%. Moving on, we can see the progress of the main components of the plant. Moving on to Slide 9. We are showing the progress at the Filtered Tailings plant that currently is at 96% overall progress. To conclude this presentation, I would like to share a few final thoughts. First, a stable and continuous production at our flagships. We are making progress in our efforts to increase throughput while prioritizing cost efficiency. Second, solid performance from our affiliate companies, Coimolache's new operating permit will enable production at full capacity. We are expecting to produce over 8,000 ounces of gold next year which will lead to higher cash flow in the coming quarters. Third, strong cash flow generation and a solid balance sheet driven by the outstanding performance of Buenaventura's flagship operations enabled us to return value to shareholders and resume our dividend policy. Finally, the San Gabriel project has achieved 96% overall progress. The new power line concession will allow us to complete commissioning in the coming weeks on track as we aim for our first gold bar by fourth quarter of 2025. Thank you for your attention. I will hand the call back to the operator to open the line for questions. Operator, please go ahead.
Operator: [Operator Instructions]. Our first question comes from Carlos De Alba from Morgan Stanley.
Carlos de Alba: So I wanted to maybe go back a little bit and make sure that we get a little maybe more color, Leandro, on what is still pending for San Gabriel. And when do you expect to get maybe those permits that are pending? And if there is anything else from a government approval perspective. How confident are you that with the recent changes in government that we have seen in the country, you're going to get them relatively on time? And to the extent that there might not be on time, if that possible delay will be weeks, days, weeks or months. And then related to that is, you did mention you expect to -- the total production for the year in San Gabriel, but what is the sequence that we should be contemplated in the model. And given the benefit that you have in ramping up this project, I mean, very amid, very high gold prices. When can we see -- when do you expect San Gabriel to be EBITDA neutral or at least where you start to breakeven?
Leandro Raggio: Thank you, Carlos. Well, we are coordinating previously since weeks ago, the final permits for San Gabriel. We are confident that we will be granted of all, and we will end this year with the production of 2 bars. Maybe Renzo can give us more detail and then Juan Carlos Ortiz can help us for the sequence of the production. Please, Renzo.
Renzo Macher: Sure. Yes, all the permits are aligned there to be able to produce the first cover towards the end of the year, it is a matter of when the authorities go up. We don't foresee any problems on that. And regarding what is pending in San Gabriel, the power should be arriving this Sunday and then it's somehow testing the C3 and C4, and that is going to take us a couple of months to complete.
Leandro Raggio: For the production sequence, Juan Carlos can help us. Carlos?
Carlos de Alba: Yes, maybe before Juan Carlos -- sorry, I may have lost my connection for a second there. So can you repeat what is happening with power. So you're getting access power this week or today or tomorrow, is that what you said? And then why won't take 2 months or to ramp up?
Renzo Macher: Sure. So power line construction is complete. All the arrangement with the other users is complete. The permit from the authority is complete. The energy station will happen on Sunday, and then we can start the commissioning process. The commissioning process will take around a couple of months because we need to stabilize power first, then we're going to start filling the mills, filling all the plant with water. And then as soon as we can start crushing and milling, we're going to be filling all the circuits up to the Tailings storage facility. And then we're going to start adding ore to that to start the crop of gold, and we expect that to be finishing towards mid-December.
Juan Ortiz Zevallos: Thank you, Carlos. And regarding your question about production, as Renzo mentioned, this year is going to be the initial gold bars by the end of the year. And in January, we will start doing the operational ramp-up. We start the operational ramp-up in January. And as we mentioned before, we need to pay attention to the construction process, the normal construction might be filtration, dissipation and compaction of the Tailings -- in the Tailings Dam because the shape of the Tailings reservoir is a V-shaped valley. We need to start from the bottom where the area is limited. And as long as we are compacting the Tailings and raining elevation, we will extend and gain more available area for compaction. Due to that, the production this year on a global basis is going to be in the order of 70,000 to 90,000 ounces of gold next year, and we are working in -- along with the project team with the commissioning and monitoring all the process, trying to do our best to be on the upper range of this guidance.
Carlos de Alba: Thank you, Juan Carlos. And maybe just, I don't know, Daniel, or when do you expect to start breaking even at current gold prices?
Juan Ortiz Zevallos: We're going to start with the high grade at the beginning. So it's going to be pretty soon, I would say, the first or the second quarter, we will probably be reaching breakeven. Even if we are not working at full capacity, we will be over breakeven, I would say, by the second quarter next year.
Carlos de Alba: Thank you very much. Good luck.
Operator: [Operator Instructions]. Ladies and gentlemen, with that, we will be concluding today's audio question-and-answer session. I would like to turn the floor back over to Sebastian Valencia, Head of Investor Relations, for any webcast questions.
Sebastian Valencia Carrasco: Thank you, operator. At this time, there are no further questions. I would like to turn the call over to Leandro Garcia.
Leandro Raggio: Thank you, Sebastian. I would like to thank you for the time and effort today to join us today. your participation and input are very appreciated. Thank you again, and have a wonderful day.
Operator: Thank you very much. Ladies and gentlemen, that concludes Buenaventura's Third Quarter 2025 Earnings Results Conference Call. We would like to thank you again for your participation. You may now disconnect.